Operator: Good day, and thank you for standing by. Welcome to the Weyco Group Second Quarter 2023 Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Judy Anderson. Please go ahead.
Judy Anderson: Good morning, everyone, and welcome to Weyco Group's conference call to discuss second quarter 2023 results. On the call with me today are Tom Florsheim, Jr., our Chairman and Chief Executive Officer; and John Florsheim, President and Chief Operating Officer. Before we begin to discuss the results for the quarter, I will read a brief cautionary statement. During this call, we may make projections or other forward-looking statements regarding our current expectations concerning future events and the future financial performance of the company. We wish to caution you that these statements are just predictions and that actual events or results may differ materially. We refer you to the section entitled Risk Factors in our most recent annual report on Form 10-K, which provides a discussion of important factors and risks that could cause our actual results to differ materially from our projections. These risk factors are incorporated herein by reference. They include, in part, the uncertain impact of inflation on our costs and consumer demand for our products, increased interest rates, and other macroeconomic factors that may cause a slowdown or contraction in the U.S. or Australian economies. Overall net sales for the second quarter of 2023 were $67 million, down 10% compared to record sales of $74.4 million in 2022. Consolidated gross earnings increased 43.3% of net sales -- increased to 43.3% of net sales compared to 40% of net sales in last year's second quarter, due mainly to higher gross margins in our North American wholesale segment. Earnings from operations rose 18% to $6.7 million from $5.7 million in the second quarter of 2022. Net earnings were a second quarter record of $4.9 million or $0.50 per diluted share, up 8% over our previous record of $4.5 million or $0.47 per diluted share, last year. Net sales in our North American wholesale segment were $51.5 million, down 13% compared to record sales of $59 million in 2022. Sales were lower across all our major brands due to reduced demand in 2023 following record growth in 2022. Wholesale gross earnings were 37% of net sales in the second quarter of 2023 compared to 33.7% of net sales last year. Gross margins improved as a result of selling price increases implemented in 2022 to address higher costs. Wholesale selling and administrative expenses totaled $13.7 million for the quarter compared to $15.7 million last year, which constituted 27% of net sales in both periods. Wholesale operating earnings rose to $5.4 million for the quarter, up 28% compared to $4.2 million last year. Net sales in our retail segment were a second quarter record of $7.6 million, up 3% compared to our previous record of $7.4 million in 2022. The increase was primarily due to higher sales volumes across all our e-commerce websites. Retail gross earnings as a percent of net sales were 66.2% and 67.4% in the second quarters of 2023 and 2022, respectively. Selling and administrative expenses for the retail segment totaled $4 million for the quarter compared to $3.9 million last year. As a percent of net sales, retail selling and administrative expenses were 52% in both 2023 and 2022. Retail operating earnings were $1.1 million in both the second quarters of 2023 and 2022. Our other operations consist of our retail and wholesale businesses in Australia, South Africa and Asia Pacific, collectively referred to as Florsheim Australia. Net sales of Florsheim Australia totaled $7.9 million, down slightly compared to $8 million in the second quarter of 2022. In local currency, Florsheim Australia's net sales were up 7% for the quarter, with sales up in both its retail and wholesale businesses. The decrease in sales in U.S. dollars was due to the weakening of the Australian dollar relative to the U.S. dollar compared to last year. Florsheim Australia's gross earnings were 62.4% of net sales compared to 61.3% of net sales in last year's second quarter. Its operating earnings were $276,000 for the quarter versus $365,000 last year. This decrease was primarily due to lower operating earnings in Asia. At June 30, 2023, our cash, short-term investments and marketable securities totaled $29.6 million, and we had $2.6 million outstanding on our $50 million revolving line of credit. During the first six months of 2023, we generated $43.6 million of cash from operations. We used funds to pay down $28.6 million on our line of credit to pay $6.9 million in dividends and to repurchase $2.1 million of our common stock. We also had $1.4 million of capital expenditures. We estimate that 2023 annual capital expenditures will be between $2 million and $4 million. On August 1, 2023, our Board of Directors declared a cash dividend of $0.25 per share to all shareholders of record on August 25, 2023, payable September 29, 2023. I would now like to turn the call over to Tom Florsheim, Jr., our Chairman and CEO.
Tom Florsheim: Thanks, Judy, and good morning, everyone. After an outstanding 2022 during which our sales were lifted to record levels by a combination of post-pandemic retailer pipeline fill as well as strong consumer demand, 2023 represents a return to the footwear industry's normal cyclical challenges. We are seeing consumer discretionary purchases shift away for products like footwear and apparel and more towards exponential expenditures like travel and dining out. As such, previously elevated footwear sales returned to historical norms and our accounts have become much more cautious as far as their inventory levels. This trend is reflected in our shipments in the second quarter across all our major brands. In terms of our legacy business, Florsheim sales were down 11%, Stacy Adams was down 17% and Nunn Bush was down 1%. All three brands were up against significant increases in the second quarter of 2022, and the shipment decrease is indicative of the overall slowdown in the industry. We believe our legacy business remains healthy. Sell-throughs for Florsheim, Stacy Adams and Nunn Bush are tracking slightly above levels seen prior to the pandemic and we feel good about the strong position we have in the refined footwear market. Our focus for our legacy brands is threefold. First, maintain our leadership position in the dress footwear market through superior product and value. Second, continue to develop new products that fit evolving consumer preferences, while we have benefited from renewed interest in dress footwear over the last two years, we are well aware that we need to continue to diversify our product assortment. Florsheim, and especially Nunn Bush, have made good progress in terms of increasing the percent of casual sales. Meanwhile, all three brands have been growing hybrid footwear as an important part of their mix. Our third and final area of focus is to make sure we are disciplined in terms of our approach to style count and inventory. Over the last few years, supply chain challenges resulted in large deficits and then surpluses in our base inventory. Due to the current industry slowdown, we are working through a higher level of slow-moving footwear than normal. We believe this is a manageable situation given the combination of our strong gross margins and a return to more predictable manufacturing and sales cycles. In our outdoor division, our BOGS business was down 35% versus 2022. BOGS' second quarter performance was impacted by an oversaturated outdoor footwear and weather boot market. Retailers are taking a very conservative approach to ordering for the back half of the year as they work through their current inventory. As a result, our confirmed orders are lower than last year for our fall key selling season, and we will be reliant on a heavier percentage of at-once orders than in years past. While we think that retailers have been too cautious based on the store consistency of BOGS sales, achieving normal fall shipments results for the brand will be dependent on external factors, such as favorable weather conditions. We have adjusted our planned inventory for BOGS down to manage the softness in the category. Similar to our legacy business, our BOGS inventory is turning slower than normal, but we also feel it will be a short-term situation. In regards to Forsake, sales were up 5% on a small base. The brand remains a work in progress, but we are pleased with the retail selling of some of the new styles we've introduced. Retail sales were up 3% for the quarter. The solid performance of our retail business has been encouraging, as we have been outperforming the industry in 2023. Our e-commerce team has done excellent work throughout this year, driving sales in a tough environment while keeping costs in line. Sales at Florsheim Australia, which is comprised of the Australian, New Zealand, Pacific Rim and South African markets, were down slightly for the quarter, but in local currency, up 7%. Our overall Florsheim Australia business held up well given these markets are facing some of the same macroeconomic challenges we are experiencing in the U.S. Our business model in Australia and New Zealand as well as South Africa is on sound footing and we believe that we're positioned well for the long term. However, after an internal review, we have decided to close our Hong Kong office and distribution center and wind down our Florsheim Asia Pacific wholesale and retail division with a target date of the end of 2023. For a number of years, Florsheim Asia Pacific has struggled to be profitable, and we do not anticipate the opportunity to improve our prospects in the foreseeable future. We are not abandoning the region entirely and plan to maintain the larger wholesale accounts by transferring them to our Australian office. We currently have six retail outlets in Asia, consisting primarily of shop in shops, which will be closed as our lease agreements expire. Our overall inventory level was $103.9 million as of June 30, 2023, compared to $128 million at December 31, 2022. As discussed in our last conference call, we are bringing down our inventory levels as supply chains have normalized, allowing us to bring in shoes closer to need. This concludes our formal remarks. Thank you for your interest in Weyco Group. And I'd now like to open the call to your questions.
Operator:
Judy Anderson: I'd just like to say thank you everyone for joining us, and have a good day.
Operator: The conference is now over. You may now disconnect.